Operator: Excuse me, everyone. We now have Sean Reilly and Jay Johnson in conference. [Operator Instructions] In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals, plans and objectives, including with respect to the amount and timing of any distributions to stockholders and the impacts and effects of general economic conditions, including inflationary pressures on the company's business, financial condition and results of operations. All forward-looking statements involve risks, uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call in the company's second quarter 2025 earnings release and its most recent annual report on Form 10-K. Lamar refers you to those documents. Lamar's second quarter 2025 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures was furnished to the SEC on a Form 8-K this morning and is available on the Investors section of Lamar's website, www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin.
Sean E. Reilly: Thank you, Madison. Good morning all, and welcome to Lamar's Second Quarter 2025 Earnings Call. Our revenue growth accelerated in Q2 to 1.9% on a consolidated acquisition-adjusted basis with year-over-year increases on both the local and national levels and across billboards, airports and logos. It was our 17th consecutive quarter of acquisition-adjusted revenue growth. EBITDA increased by 2% on an acquisition-adjusted basis with a slight improvement in margins versus Q2 of last year. Reflecting on Q2 and on July, I would categorize the current operating environment is solid but not spectacular. We are seeing increased activity in the form of national RFPs and local proposals, but some advertisers continue to maintain a cautious approach. As you can tell from the headlines, there's still a lot of uncertainty in the air. Current pacing suggests acquisition-adjusted growth for the back half will likely be better than Q2 with Q3 growth ahead of Q4, where we are comping against the election-related political spend in Q4 of 2024. We are particularly cautious about October. As a result, back half growth, again, better than the first half is not quite as strong as our earlier expectations. Consequently, as you saw, we have revised our guidance for full year AFFO per share to a range of $8.10 to $8.20. There are some nonoperational factors in that revision, including some onetime expenses associated with our exit from the Vancouver transit contract, which will cost us a few pennies on AFFO. Jay will walk you through these numbers in a little more detail in a moment. As for the loss of the contract, Vancouver since COVID and until very recently was negative to the bottom line, so we are not necessarily sorry to see it go. In the meantime, back to Q2, categories of strength included services, building and construction, financial and insurance, while beverages, education and telecom were weaker. As mentioned, local and national were both higher with programmatic up right around 10%. It's been an active year on the M&A front. Through Q2, we had spent $87 million in cash on 20 acquisitions, including a deal that we expect to close this morning, bringing the year-to-date total to approximately $110 million in cash acquisitions. In early July, meanwhile, we completed a milestone deal with the first ever UPREIT transaction in the billboard space. Our counterparty, Verde Outdoor contributed their billboards in the Southeast, Northeast and Midwest to us. In return, we issued nearly 1.2 million units in our operating partnership subsidiary to Verde's owners. These units entitle them to the same cash distributions as common shareholders. Meanwhile, the tax on their gains will be deferred until the units are converted to cash or Lamar shares, a conversion that they trigger on their own timetable. On the day we issued the units, the stock was trading about $124 per share. But recall that we bought back 1.3 million shares earlier this year, which we did knowing this deal was coming and recognizing that we had an opportunity to lock the price of the units that we would issue, if you will, at an attractive price point, which was about $1.08 per share across the buyback. The UPREIT is a really compelling option for sellers who like the outdoor business, but want to diversify their asset base in a tax- efficient manner, all the while enjoying income from our distributions. For that reason, we expect that it will be a tool that we will use again and again, and I want to thank Ernie Garcia and the rest of the Verde ownership group for blazing this path with us. With that, I will turn it over to Jay to walk you through the numbers.
Jay Lecoryelle Johnson: Thanks, Sean. Good morning, everyone, and thank you for joining us. We experienced modest growth in our portfolio during the second quarter. Growth in AFFO continued, which was nice to see given AFFO grew almost 10% in Q2 a year ago. In the second quarter, acquisition-adjusted revenue increased 1.9% from the same period last year, accelerating 80 basis points over the first quarter. Our billboard operations experienced low single-digit top line growth, while the company's airport and logos division significantly outpaced the broader portfolio, growing revenue 11.7% and 6.1%, respectively. Acquisition adjusted consolidated expenses also increased 1.9% in the second quarter, which was better than our internal expectations. We now expect operating expense growth for the full year to come in around 2.5% and on an acquisition-adjusted basis. Adjusted EBITDA for the quarter was $278.4 million compared to $271.6 million in 2024, which was an increase of 2.5%. On an acquisition-adjusted basis, adjusted EBITDA increased 2%. Adjusted EBITDA margin for the quarter remained strong at 48.1%, one of the strongest second quarters in recent history. Adjusted funds from operations totaled $225.3 million in the second quarter compared to $213.5 million last year, an increase of 5.5%. Diluted AFFO per share increased 6.7% to $2.22 per share versus $2.08 per share in the second quarter of 2024. Local and regional sales accounted for approximately 79% of the billboard revenue in Q2, growing for the 17th consecutive quarter. Q1 of 2021, a COVID-impacted quarter, was the last in which we saw a year-over-year decline in local and regional sales. This consistent performance exhibits the resilience of our core local advertising business and differentiates the company from our peer group. Subsequent to quarter end, on July 31, the contract between the company and TransLink in Vancouver, British Columbia matured and was terminated per terms of the agreement. While Vancouver Transit was a high revenue contract, with approximately USD 23.5 million expected for the full year across TransLink and an affiliated contract, the actual EBITDA contribution was budgeted for slightly less than USD 2 million, a margin of less than 10%. The Vancouver business has struggled to breakeven since COVID and only turned cash flow positive in the second half of last year. Our original guidance assumed renewal of the contract and the full year impact to AFFO is approximately $0.06 per share, driven primarily by severance costs associated with our Canadian employees. On the capital expenditure front, total spend for the quarter was $38.2 million, including $13.3 million of maintenance CapEx. For the first half of the year, CapEx totaled $68.1 million, about 1/3 of which was maintenance. And for the full year, we anticipate total CapEx of $180 million with maintenance comprising $60 million. Moving to our balance sheet. We have a well-laddered debt maturity schedule with no maturities until the term loan B in February 2027 followed by the company's AR securitization later that year in October. At quarter end, we had approximately $3.4 billion in total consolidated debt and our weighted average interest rate was 4.7% with a weighted average debt maturity of 3.4 years. We ended the quarter with total leverage of 2.95x net debt-to-EBITDA as defined under our credit facility, which remains amongst the lowest level ever for the company. Our secured debt leverage was 0.95x, and we're comfortably in compliance with both our total debt incurrence and secured debt maintenance test against covenants of 7x and 4.5x, respectively. For the full year, we expect total leverage at or below 3x, with secured leverage consistent as well at or below 1x net debt to EBITDA. Our LTM interest coverage through June 30 improved to 6.8x adjusted EBITDA to cash interest. While we do not have an interest coverage covenant in any of our debt agreements, we do monitor this important financial metric. The healthy coverage exemplifies the strength of our balance sheet and the ability to service our debt. As a result of the focus on our balance sheet, the company is well positioned, and we have resumed more normal acquisition activity with an investment capacity over $1 billion. In addition, we have the ability to deploy this capital while remaining at or below the high end of our target leverage range of 3.5x to 4x net debt to EBITDA. Our liquidity and access to capital remains strong as the company continues to enjoy access to both the debt and equity capital markets. As of June 30, we had $363 million in total liquidity, comprised of approximately $56 million of cash on hand and $307 million available under our revolving credit facility. We ended the quarter with $434 million outstanding on the revolver and the company's AR securitization was fully drawn with a balance of $250 million. This morning, we revised our full year guidance and now expect AFFO to finish the year between $8.10 and $8.20 per diluted share, a reduction of $0.05 from the prior range at the midpoint. Cash interest in our revised guidance totaled $152 million and assumes SOFR remains flat for the balance of the year. As I touched on earlier, maintenance CapEx is budgeted for $60 million and cash taxes are projected to come in around $10 million, which excludes any taxes related to disposition of our interest in Vistar Media earlier this year. And finally, our dividend. We paid a cash dividend of $1.55 per share in both the first and second quarters. Management's recommendation will be to declare a cash dividend of $1.55 per share for the third quarter as well. This recommendation is subject to Board approval, and we will communicate the Board's decision. The company's dividend policy remains to distribute 100% of our taxable income. And for the full year, we still expect to distribute a regular dividend of at least $6.20 per share, excluding any required distribution resulting from the Vistar sale. Again, we are pleased with our financial position and strong balance sheet, which should help mitigate any uncertainty that arises in the broader economic environment. I will now turn the call back over to Sean.
Sean E. Reilly: Thank you, Jay. Before I open it up for questions, I'll add a little color to some familiar metrics that we discuss every quarter. Regions of relative strength included Central region and the Midwest region. Regions of relative weakness have included the Atlantic region and the Gulf Coast region. I mentioned caution around our October. In those geographies of relative strength, we have been more successful in replacing political business. In weaker regions, it's been a little tougher. We ended Q2 with 5,255 digital units in the air, an increase of 152 over Q1. While we struggled a little bit with same board digital in the first half, it seems to have strengthened as we move into the back half of the year. Our current expectation is to end the year having added 325 to 350 new digital units. As I mentioned, we grew both local and national business in Q2. Local regional grew 1.7% on the billboard side, national programmatic grew 0.5% on the billboard side. Of note, we believe national/programmatic will be up 2.5% to 3% in Q3. So it's nice to see that rebound. Also regarding Q3, we have 91% of our expectations for total revenue already booked with 88% of our expectations for full year revenue already booked. Finally, I mentioned some categories of relative strength. That would be service, up 8.2% in Q2; financial, up 11% in Q2; building and construction, up 16.3% in Q2 and insurance, that's nice to see, up 22% in Q2. Categories of relative weakness included, as I mentioned, education down 3.8%; beverages down 16% and telecom down 17%. With that, Madison, we can open it up for questions.
Operator: [Operator Instructions] And we will take our first question from Cameron McVeigh with Morgan Stanley.
Cameron Alan McVeigh: I was curious if you could maybe further quantify what the updated guidance implies for top line growth for the year, maybe just visibility trending into the back half now? And then secondly, Sean, if you could remind us the quarterly political comp, how much political revenue you might expect this quarter? And any commentary on your ability to replace these sales? And maybe just ask another way, how is pricing trending for the boards that were political ads last year now that you're selling to other verticals, that would be helpful.
Sean E. Reilly: So as a general comment, rate is hanging in there quite nicely for example, for our static bulletin product. Q2 rate was up 4%. So that's, again, good to see. Some of that, of course, is a business that was previously occupied by political customers. The comp for Q3 in terms of political is not quite as much as what we need to do for October and Q4. Q3 is going to come in, we think, pretty nicely. Again, we're cautious about that October comp, and it's substantial. It's in the tens of millions.
Jay Lecoryelle Johnson: So Cameron, from a comp perspective, Q3, the political headwind is about 100 basis points, and it's about 200 basis points in Q4. In the second half of last year, we put about $200 million of political on the book. So it's a pretty decent....
Operator: And we will take our next question from Jason Bazinet with Citi.
Jason Boisvert Bazinet: I just had 2 questions. When I was reading your release, it implied that the reduction in the AFFO guidance was really a function of maybe the macro improving, but not as much as you anticipated. But when I listen to what Jay said, it came across as the entire AFFO reduction is really just related to the Vancouver exit. So I don't know if I misinterpreted something, but if you could clarify that. That's my first question. And then second question...
Sean E. Reilly: That's a good question, and I'm going to answer it with -- it's a little bit of both. Some of it is decidedly a little softer operations. And then a chunk of it is definitely related to Vancouver. I'll let Jay also add a little color.
Jay Lecoryelle Johnson: Yes. So Jason, there are a lot of ins and outs in this quarter. I would point to the headwinds being just the slower operating performance on the top line, but also Vancouver. And mitigating that, we do have acquisitions. Verde was a pretty sizable acquisition for us as well as the additional cash acquisitions we've done throughout the year. And then finally, the share repurchase that we did largely in Q2 also gave us a bit of a tailwind. But net-net, the reduction at the midpoint is about the same as the impact on Vancouver, but there are lots of ins and outs that kind of get you to that.
Jason Boisvert Bazinet: Okay. Perfect. And then I just had a question on this UPREIT structure. And you can correct me if I'm wrong. I sort of think of the outdoor business in the U.S., maybe 1/3 of it is still sort of held in private hands. And is your sense that this could sort of accelerate the cadence of M&A because there's a lot of families that own a handful of billboards that want to defer those taxes and now you have a mechanism to engage with them without being constrained by the amount of cash that you generate and not constrained by the sellers unwillingness to accept cash because they don't want to pay taxes. Like is this a big deal? Like is this going to alter the contour or cadence of M&A over the next 5 years?
Sean E. Reilly: Yes, we think it is a big deal. After we announced the Verde transaction with a very sophisticated family office seller in the Garcia family, there were a lot of inbound calls. And our -- the broker community is telling us that people are very interested and that they want to better understand it and some of them, we believe, will find it quite attractive. Jay, do you want to add anything?
Jay Lecoryelle Johnson: I think that's right. It's a very favorable structure. It's one in which when you have long-held assets with a low basis, it really can be a benefit and really a win-win for both the sellers and [indiscernible]. So we're cautiously optimistic that it will [indiscernible] the activity.
Jason Boisvert Bazinet: Can I just ask one follow-up on that? What was it that prevented sort of the UPREIT sort of flavor, if you will, or that structure from being put in over the last, I don't know, what has it been 11 years since you've been in REIT, what is that caused this to happen now?
Sean E. Reilly: We really began exploring it about 4 years ago, was it, Jay? And we've got some accounting and legal advice. And I don't know if we announced this, but we spent about $1 million doing the conversion about 4 years ago in anticipation of transaction breaking. We had -- we came very close about 1.5 years ago to pulling off an UPREIT transaction for a variety of reasons. That one didn't quite come together. But this one has and the word is now out.
Jay Lecoryelle Johnson: I think, Jason, just looking historically, when we originally converted to a REIT, not to push the envelope and make sure that the conversion was approved, I think the team here decided not to pursue the UPREIT structure. And having gone through a conversion once we were looking at a deal, we made the decision to say, let's go ahead and do it because it's a heavy lift. I mean, it took us 6 months to do the conversion. So we decided to do it, and we're pleased that we finally got a transaction done. And now that the market is seeing the benefit, I think sellers will seek to understand the product more and hopefully will lead to more deals.
Operator: And our next question comes from David Karnovsky with JPMorgan.
David Karnovsky: Sean, transit results appear to becoming better across outdoor firms, including yours. I'm kind of interested in why you think in this cautious macro period that airports and transit are kind of holding up better? And then maybe just separate from the UPREIT conversation, can you just update on the pipeline for M&A generally? And is there anything assumed in the guide past the Verde?
Sean E. Reilly: So nothing in the guide assumed past Verde, but Verde is baked in to the guide. So we feel like on the airport side, airports are just performing very strongly. You've seen that in Clear Channel's results. We're experiencing the same thing. There's been a tremendous rebound in air travel. And actually, growth in our airport division is pacing the company right now. On the transit side, keep in mind, our transit is a little bit different than what you would see with, say, an upfront. Typically, what we're doing is wrapping buses so that the audience is not the actual ridership of the transit trains. It's -- the audience is actually people in and around the communities that see the buses as they roll around. It's a slightly different business. It had a different recovery profile in terms of coming back. We mentioned Vancouver in this call. Vancouver is really one of the only transit operations that we had that kind of looked like the New York MTA, the actual audience was the ridership of the trains, and that's why it took longer for it to recover. So I think you'll see in those -- in that sort of differential rate of growth for our transit versus what you're hearing from the other guys is that differential rate of recovery from COVID, if that makes sense.
Operator: [Operator Instructions] And we will take our next question from Daniel Osley with Wells Fargo.
Daniel Carol Osley: Maybe sticking with the M&A theme. Can you remind us on the typical time line to get acquired assets integrated into your sales motion? And then how quickly are you able to start realizing synergies on the cost side?
Sean E. Reilly: So it depends on whether or not it's a fill-in acquisition for a new market acquisition for us, David. Verde was a little bit of both. When it to fill-in, the expense synergies happen extremely quickly. Typically on a fill-in deal, we're just buying billboard structures, billboard permits, advertising contracts and ground leases. And we don't need the people or the trucks or the buildings and the like. So on the expense side, it happens very quickly if it's 100% fill-in. The magic on the revenue side takes a little longer because, number one, we have to live with contracts in place that the previous owners had. And then once we -- those contracts roll off, typically, there's a little bit of magic on the top as well.
Daniel Carol Osley: That's helpful. And then maybe as a quick follow-up, what are you assuming in the second half of the year as the headwind from the exit of the Vancouver contract?
Jay Lecoryelle Johnson: So for the full year, it's about $0.06, and that's comprised of primarily severance costs, $0.04 of that is severance. Only about $0.02 for the full year. And so approximately about $0.01 in the back half is related to operations, the loss of cash flow from the contract.
Operator: And it appears that we have no further questions at this time. I will now turn the call back to Sean for closing remarks.
Sean E. Reilly: Thank you, Madison, and thank you all for your interest in Lamar. I look forward to visiting again on the Q3 call later this year. Thank you all.
Operator: This does conclude today's presentation. Thank you for your participation. You may disconnect at any time.